Operator: Welcome to the first quarter 2010 earnings conference call. During today’s presentation, all parties will be in a listen only mode. Following the presentation, the conference will be open for questions. (Operator Instructions) The conference is being recorded today, Thursday April 29, 2010. I would now like to turn the conference over to Managing Director of Investor Relations and Assistant Treasurer Mr. Paul Johnson, please go ahead sir.
Paul Johnson: Thank you and welcome to Xcel Energy’s first quarter 2010 earnings release conference call. I’m Paul Johnson. With me today are Ben Fowke, President and Chief Operator Officer; Dave Sparby, Vice President and Chief Financial Officer; Teresa Madden, Vice President and Controller; Scott Wilensky, Vice President, Regulatory and Resource Planning and George Tyson, Vice President and Treasurer. Today we plan to cover our first quarter results and accomplishments. In addition, we are reaffirming our annual guidance of a $1.55 to a $1.65 per share. Please note that there are slides that accompany the conference call, which are available on our web page. I want to remind everyone that some of our comments may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. You’ll note that today’s press release refers to both GAAP and ongoing earnings. The difference between first quarter 2010 ongoing and GAAP earnings is related to nonrecurring items, which I will explain in a moment. First quarter ongoing earnings were $0.42 per share in 2010 compared with $0.38 per share in 2009. GAAP earnings were $0.36 per share in 2010 compared with $0.38 per share in 2009. The $0.06 variance is due to the following items. In March of 2010, the Patient Protection and Affordable Care Act was signed into law. One of the provisions of the act reduces deductibility of retiree healthcare costs. Based on this provision, Xcel Energy is subject to additional tax and is required to reverse previously recorded tax benefits. As a result, we expensed $17 million or $0.04 per share of previously recognized tax benefit related to Medicare Part D subsidies in the first quarter of 2010. In addition, after reaching an agreement in principle with the IRS during the first quarter, Xcel Energy recorded an adjustment of $0.02 per share for interest and taxes associated with the completion of a comprehensive tax reconciliation related to Xcel Energy's discontinued company-owned life insurance program. We do not consider either of these two items as part of ongoing earnings as they are not expected to reoccur in the future. Management believes ongoing earnings, which removes the impact of non-reoccurring items provides a more meaningful comparison. As a result, we will discuss ongoing earnings during the remainder of this call. Please see are our first quarter earnings release for a reconciliation of GAAP to ongoing earnings. With that I'll now turn the call over to Ben Fowke.
Ben Fowke: Thanks, Paul and welcome everyone. As Paul mentioned, this morning we reported first quarter ongoing earnings of $0.42 per share compared with $0.38 per share in 2009. This is a positive start to the year. Dave Sparby will discuss quarterly results in more detail. I'll focus my comments on some recent developments in Colorado. We recently announced an agreement to acquire two natural gas plants from Calpine for $739 million. These generation facilities currently provide power to our customers in Colorado through purchase power agreements. Acquiring these assets will provide long-term cost savings to our customers. We believe that owning these plants is important as we strive to meet Colorado's new 30% renewable portfolio standard by 2020. In addition, we expect the transaction will be accretive in 2011 and will drive earnings growth for shareholders. The acquisition is subject to state and federal regulatory approvals. In May we will make a filing with Colorado Commission seeking approval of the acquisition and interim rate recovery of the revenue requirements associated with the plants. We anticipate that this acquisition will have a small impact on customer bills as the rate increase will be offset by savings in capacity payments on other current PPA. The transaction is expected to close in December 2010. In April, the Clean Air-Clean Jobs Act was signed into law by Governor Ritter of Colorado. The bill establishes a timeline and regulatory framework for PSCo to develop a plant to potentially retrofit, retire or replace 900 MW or more of older and less efficient coal fire generation. PSCo may retrofit its existing coal fired plants with emission controls, will retire and replace the plants with natural gas fire generation or other low-emitting resources. We will file our plan with the Colorado PUC by mid August and the commission will roll in the plan by year end. The law allows for right of recovery of the investments associated with this bill. The bill also allows for interim rates and helps with achieving forward test years in general rate cases. This is another great example of our ability to work with key stakeholders to arrive at a creative solution to reduce the emissions while ensuring timely recovery of cost. Finally, we continue to make progress putting Comanche 3 into commercial operation. During our recent testing phase the plants delivered output of approximately 800 megawatts which is above the expected output of 750 megawatts Comanche 3 is currently offline to prepare the unit for final full load performance tuning and testing. A number of punch less repairs associated with the plant were completed and we will installed baffles to address some noise issue that was caused by the new induced-draft fans. We now plan to bring the plant into service in early May. We kind of few startup just to work through, we are very confident this plant will deliver strong value to our customers. With that I’ll turn the call over to Dave, who’ll walk you through our first quarter results, discuss our financing plans and provide a regulatory update. 
David Sparby: Thanks Ben. Now let's take a look at the details of our first quarter results starting with a review of each of our subsidiary. During the quarter earnings at PSCo increased $0.06 per share largely due to the rate increases that went into effect in July 2009 and January 2010. At NSP-Minnesota, earnings decreased by $0.02 per share due to warm winter weather and higher O&M costs. At NSP-Wisconsin, earnings declined by $0.01 per share due to fuel recovery, sluggish sales and higher O&M cost. Higher electric rates effective January 2010 offset some of these negative factors. At SPS, earnings were flat for the quarter as higher operating costs offset new rates that went into effect in February and July of 2009. Next I’ll discuss the drivers that affected various lines of the income statement beginning with retail electric margin. Electric margin increased by $46 million for the first quarter of 2010. The increase was largely driven by rate increases in Colorado, Texas, Wisconsin and New Mexico which improved electric margin by $57 million. Conservation revenue increased by $13 million; however this revenue is largely offset by higher conservation and DSM expense. Retail sales increases excluding the impact of weather increased electric margin by $6 million. These positive factors were partially offset by a variety of smaller items which are detailed in our earnings release. We also had strong gas margins which increased $12 million in the first quarter. The increase was largely due to an interim rate increase in Minnesota, the impact of weather and higher weather normalized sales. Turning to expenses, first quarter O&M expenses increased about $9 million or about 2%. While we did a nice job of keeping cost increases to a minimal level for the quarter, some of this reflects expense timing as we expect that annual O&M cost will increase approximately 6 to 7% for the year. Next I’ll provide you with an update on our financing plans. We have updated our plants as a result of our agreement to acquire two natural gas generation plants from Calpine. The acquisition was not included in our previous capital expenditure forecast. In addition to periodic issuance and repayment of short term debt, we plan to issue the following securities at the holding company. Plan to issue approximately $500 million of long term debt during the second quarter of 2010. In addition we planned to issue approximately $400 million of equity in 2010 or 2011. At NSP-Minnesota, our financing plans have not changed. We planned to issue approximately $500 million of first mortgage bond in the third quarter of 2010. We also now planned to issue approximately $400 million of first quarter bonds – first mortgage bonds at PSCo in the fourth quarter of 2010. Generally speaking the proceeds from these transactions will be used to fund their capital investment program, term out our short term debt from 2010 bond maturities and for general corporate purposes. In addition, a portion of the proceeds from the holding company transactions will be used to infuse equity into our utility subsidiaries. Our financing plan will enable us to maintain a solid balance sheet and strong credit metrics. As you’re probably aware our financing plans are subject to change depending on capital expenditures, internal cash generation, market conditions and other factors. Lastly, we have a fairly light regulatory schedule, but let me give you a quick update on our pending and planned rate cases. In November we filed a request with the Commission to increase Minnesota gas rates by $16 million for 2010. The request is based on an ROE of 11% and equity ratio of 52.5% and a rate base of $441 million. The interim rates of $11.1 million went into effect in January and we expect the decision late this year. In 2009, PSCo filed to increased to Colorado wholesale rates by $30 million based on a 12.5% ROE, a 58% equity ratio and a rate base of $315 million. We are in settlement discussions with our wholesale customers and expect rates to go into effect later in 2010. Finally, in the coming months we’ve planned to file a Texas retail case in May and a Wisconsin re-opener later this summer. We expect final rates from both cases to go into effect in 2010. This concludes my prepared remarks. Operator, we can now take questions. 
Ali Agha – SunTrust Robinson Humphrey: Thank you, good morning. 
Benjamin Fowke : Good morning Ali. 
Ali Agha – SunTrust Robinson Humphrey : David or Ben, when you talked about the Calpine asset acquisition, you said it would be accretive in 2011. So if you give us some sense of the magnitude of that accretion? 
Benjamin Fowke : Sure and it of course depends on the regulatory timing of approvals and other factors Ali, but I think if you used a $0.02 to $0.03 benchmark that would be pretty close. 
Ali Agha – SunTrust Robinson Humphrey : Okay. And the second question, David you talked about the expenses and how they were lining up for the year. Could you also give a sense on load growth and the assumptions that you baked in for your full year guidance. So far our expenses and the load growth that you’re seeing pretty much following the assumptions that you guys have made for the year?
David Sparby: Yes, we forecast about 1% low growth, we’re still on track and this is on the electric side to see that, so far expenses are in track so first quarter is following plan. 
Ali Agha – SunTrust Robinson Humphrey : And my last question, also you alluded to the light regulatory calendar currently and a couple of filings later this year, but as you look into 11 and beyond, you’ve come from a very pact regulatory agenda last several years. Where should we expect a pick up on the regulatory agenda front looking out in the next couple of years? 
David Sparby: Well we continued to evaluate 11 very closely, we have both on increasing rate base as well as increasing pension costs, so we’re continuing to look closely at our larger jurisdictions especially here in Minnesota, Ali. 
Ali Agha – SunTrust Robinson Humphrey : Thank you. 
Operator: (Operator Instructions). And our next question comes from the line of Nathan Judge with Atlantic Equities. Please go ahead. 
Nathan Judge – Atlantic Equities: Good afternoon. Quick question, what’s your sensitivity to every 1% change in demand growth for this year or next? 
Benjamin Fowke : It of course depends a little bit on the company Nathan and a little bit on the class that’s affected, but if you look to impact both demand and energy change together it’d be about $30 million. 
Nathan Judge – Atlantic Equities : And now with net income and not EBIT is that right?
Benjamin. Fowke: Yes.
David Sparby:  But Nathan, that’s pretax. 
Nathan Judge – Atlantic Equities : Margin, the $30 million and that’s assuming that there is a pretty comparable change across. 
David Sparby:
 : Right. Because of that companies Nathan have different margins and of course the classes have different margins and then there is seasonal rate differences also. 
Benjamin Fowke : And Nathan, you remember this is Ben, you remember last year we were addressing this question and we kind of used that $30 million rule of thumb but it really, the impact wasn’t as severe because we were seeing declines and places that have more demand based revenue than gettable recovery. So to Dave’s point, it really depends but that’s just a real rough rule of thumb. 
David Sparby:  Yes and just to add to that, if we weren’t seeing a change in demand just looking at the change in energy, it’d be closer to $20 million but again that’s a very general rule of thumb.  
Nathan Judge – Atlantic Equities : Great and just confirm, you mentioned that your expectations were being met with demand growth and I just know you’re expecting to grow at 1% to your demand growth in the first quarter was well above that on a normalized basis. Can you give us further details on how you see demand play out this year, as it does seem to be some fairly robust recovery demand across the nation and in your service area. 
Benjamin Fowke : Well we’re of course measuring from a very low point last year Nathan that we had seen significant drop off in sales first quarter of last year, so quarter-to-quarter it looks a little greater, but you shouldn’t think as that is necessarily representative of what you’ll see in the later quarters and although this past quarter we have seen some nice pickup in Colorado in SPS, frankly we haven’t seen it at NSP-Minnesota or NSP-Wisconsin. So we’re cautiously optimistic but we’re not at the point of saying we’re going to beat that 1%. 
Nathan Judge – Atlantic Equities : Great, thank you. And just I know you’ve got still positive but just, could you just give us an idea where you are with your coal inventories and anything you see in that market? Thank you. 
Benjamin Fowke: We’re at about 44 days, we’re just a little bit ahead of target, about the target better said. 
Nathan Judge – Atlantic Equities : Thank you. 
Operator: 
 :
Timothy Yee – KeyBanc : Good morning. Could you just give us a little more detail as to I guess what to expect as far as the Colorado approval for the acquisition and the timing of the interim rates, like when that might go into effect? 
Benjamin Fowke :  Sure, we’d expect the commission to give us a decision before year end and I think realistically you’d expect some type of rider recovery to begin in January 2011. 
 :
Timothy Yee – KeyBanc : And then I guess just looking at your financing with the mention of the equity, and I’m just trying to reconcile that with no change in your guidance assumptions for shares outstanding this year. Would it be fair to say you might still be opportunistic with the timing of any equity issuances in 2010, or is that just? 
Benjamin Fowke : No, that’s a fair interpretation, I mean we obviously there is a timeframe that we provided 10 or 11 with respect to when we’ll issue that so you shouldn’t read into our guidance that we’ve made a decision other than that. 
Timothy Yee – KeyBanc : Okay. Thank you very much.
Benjamin Fowke : Thank you.
Operator: Thank you and our next question comes from the line of Mark Barnett with Morningstar. Please go ahead.
Mark Barnett – Morningstar: Good morning guys. 
Benjamin Fowke : Good morning Mike. 
Mark Barnett – Morningstar:
Benjamin Fowke : Well, Mark I’ll say that we are seeing that trend that the large industrial customers are recovering and they are recovering first, but just like as demand declined they were the first to decline and we saw the smaller C&I customers decline later. On the recovery we’re seeing the large C&I especially those affected by the stimulus bill for example those that manufacture parts for the automobile industry recover first but our C&I sales altogether are still being anchored by small C&I which haven’t seen the benefits or recovery get to them yet.  
Mark Barnett – Morningstar:
Benjamin Fowke : Yes, clearly Colorado and SPS have seen more of a net recovery in that regard large C&I offset the slow recovery of C&I. Here we haven’t seen that yet, we’ve seen large C&I recovered but slow C&I continues to lag them. 
Mark Barnett – Morningstar: Okay, thanks a lot. I appreciate it. 
Operator: (Operator Instructions). One moment please. And our next question comes from the line of Sarah Acres [ph] with Wells Fargo.
Sarah Acres – Wells Fargo: Hey good morning. 
Benjamin Fowke: Good morning Sarah. 
Sarah Acres – Wells Fargo: You mentioned in the K, a proposal in Minnesota to eliminate the interim rates. I was wondering if you could give us an update on that and anything else we should keep our eye on the legislative front. 
Benjamin Fowke : Yes, that proposal never made it out of committee. So it’s no longer being considered in the legislature. There is a bill reflecting some reporting requirements that are already pretty much incorporated into the sates regulatory framework. So there really isn’t anything of any significance pending at this point. 
Sarah Acres – Wells Fargo: Thank you. 
Operator: And management, I show no further no further questions in queue at this time. 
Benjamin Fowke : Alright, well thank you everyone for participating in our first quarter call. If there is any additional questions, please call Paul Johnson and our IR team. 